Operator: Good day, ladies and gentlemen, and welcome to the Lightbridge 2016 Year-End Earnings and Business Update Call. All lines have been places on a listen-only mode and the floor will be opened for questions and comments following the presentation. [Operator Instructions] At this time, it is my pleasure to turn the floor over to your host David Waldman. Sir, the floor is yours.
David Waldman: Thank you. Good morning and welcome to the conference call for Lightbridge’s 2016 year-end business update. The company’s news release was distributed after the market closed yesterday and can be viewed on the Investor Relations page of the Lightbridge website at www.ltbridge.com. If anyone has questions after the call, you may contact Crescendo Communications, Investor Relations for the company at 855-379-9900. Seth Grae, our Chief Executive Officer will lead today’s call. In addition, the following executives are available to answer your questions; Linda Zwobota, Chief Financial Officer; and Jon Johnson, Senior Vice President and Nuclear Regulatory Expert. Our field team leaders; Jim Malone and Andrey Mushakov were travelling overseas and are unable to participate in today’s call. Today’s presentation includes forward-looking statements about the company’s competitive position and product and service offerings. During the course of today’s call, words such as expect, anticipate, believe, and intend will be used in our discussion of goals or events in the future. This presentation is based on our current expectation and involves certain risks and uncertainties that may cause actual results to differ significantly from such estimates. These and other risks are set forth in more detail on Lightbridge’s filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements whether as a result of new developments or otherwise. You can participate in today’s call in two ways. First, you may submit questions for management in writing to ir@ltbridge.com. If you have already submitted a question in advance, we thank you. You can also submit them at anytime during the prepared remarks or during the Q&A period. Second, after the prepared remarks, telephone lines will be opened for live questions. Now, here is Lightbridge’s CEO, Seth Grae. Please go ahead, sir.
Seth Grae: Well, thank you, David. Good morning, everyone. 2016 was a productive year for Lightbridge. I’ll begin by mentioning seven important major accomplishments. First, AREVA NP, which I’ll just call AREVA for the rest of the call, completed a detailed technical assessment of the Lightbridge fuel technology. Second, following this assessment, we agree to initial terms with AREVA for a joint venture to develop, manufacture, and commercialize fuel assemblies based on Lightbridge’s next generation nuclear fuel technology. Third, we signed a letter of intent for our first lead test assembly contract with a U.S. nuclear utility, which will represent the first use of Lightbridge-designed nuclear fuel in a commercial reactor in the United States. Fourth, we received regulatory approval from the Norwegian Radiation Protection Authority for irradiation of Lightbridge metallic fuel at the Halden Reactor in Norway. Fifth, Canadian Nuclear Laboratories completed its assessment of the feasibility of our fuel and prepared a fabrication plan for manufacturing Lightbridge-designed fuel samples at its facilities in Canada. Sixth, BWXT formerly known as the Babcock & Wilcox Company completed a separate assessment of the feasibility of our fuel and prepared a fabrication plan for manufacturing Lightbridge-designed fuel samples at its facility in the United States. And seventh, we received key patents covering our metallic fuel rod design, including in the European Union, China, United States, Russia, Kazakhstan, Japan, Canada, and Australia. Our recent agreement with AREVA follows a detailed technical assessment they completed further validating our fuel technology. This assessment included development of a preliminary roadmap for fuel development and demonstration activities, as well as requirements for regulatory licensing and commercial deployment of the fuels. The term sheet we signed in November covers fuel assemblies for most types of light water reactors that are currently in operation or under construction, including pressurized water reactors, boiling water reactors, water-cooled small modular reactors, and water-cooled research reactors. This arrangement sets forth a well-defined global commercialization strategy for our fuel, including in the United States, Europe, and Asia. We expect to begin substantial joint development work with AREVA and then launch the joint venture company in the coming months. We appreciate the support AREVA has shown in rapidly moving this process forward. As the largest nuclear fuel manufacturer in the world, AREVA is an ideal partner, in that they bring expertise in nuclear fuel assembly design, licensing, and fabrication, as well as an established global customer base. I can’t emphasize enough the importance of having a partner with the capabilities and track record to design and qualify fuel assembly using our fuel rods. This agreement is a strong validation of the growing global interest and demand for our fuel, which we’ve designed to enhance the safety and economics of nuclear power plants. In fact, a senior AREVA executive recently made the following public statement. “We look forward to enhance nuclear fuel performance through this relationship combining AREVA’s expertise in nuclear fuel design and fabrication with the Lightbridge’s innovative metallic nuclear fuel concept. Next generation fuel technology has significant potential to help sustain existing nuclear energy assets, which will service the foundation for a clean energy portfolio worldwide.” AREVA also presented our fuel technology a couple of weeks ago at the Electric Power Research Institute’s conference in Atlanta. Following the announcement relating to our joint venture with AREVA, we disclosed that we signed a letter of intent with a leading U.S. nuclear utility for our first lead test assembly contract, which will represent the first use of Lightbridge-designed nuclear fuel in a commercial reactor in the United States. In one of these utilities nuclear power plants, this letter of intent is an important step towards commercialization of our nuclear fuel technology. In terms of the regulatory path forward, we received approvals from the Norwegian Radiation Protection Authority, which is the nuclear regulatory authority of Norway for irradiation of Lightbridge metallic fuel at the Halden Research Reactor in Norway. When approving the plant irradiation of Lightbridge fuel at Halden, the Norwegian Radiation Protection Authority specifically noted the safety advantages of Lightbridge metallic fuel to use their own words translating from the Norwegian. “Our fuel offers much better thermal conductivity than oxide fuel, which contributes to significantly lower center line temperatures in the fuel, as compared to oxide fuel, and reduced likelihood for a release of fission products should a cladding breach occur” In addition to our close collaboration with AREVA, we’re working with BWXT and Canadian Nuclear Laboratories each of which conducted independent assessments and prepared a preliminary plan for fabrication of Lightbridge-designed nuclear fuel samples at their respective facilities. Although we have yet to formally announce our partner for the initial manufacturing of fuel rods for the Halden Reactor, we’re close. There is no shortage of interest, and we are actively evaluating a variety of options that go beyond the initial tests. In fact, all of the aforementioned companies may have a role to play at certain times going forward. We announced that Lightbridge received a notice of allowance for a key patent covering our metallic nuclear fuel rod from the European Patent Office. To-date, we’ve received numerous patents and now have a very broad intellectual property protection in key markets in addition to the European Union and U.S. as we’ve mentioned, including Canada, China, Japan, South Korea, Russia and elsewhere around the world. On the financing side, we closed at $2.8 million investment in 2016, which was at a significant premium to the market price from Xingping Hou, the Chairman of one of the largest orange producing companies in China. Mr. Hou has significant investments in a variety of energy and technology companies. Not only did this transaction significantly enhanced our balance sheet, but we were pleased to welcome Mr. Hou to the Board as Co-Chairman and we welcome his participation, given his experience and business acumen. To wrap up, we believe our arrangement with AREVA independent feasibility studies on fuel samples fabrication by BWXT and Canadian Nuclear Laboratories, as well as a letter of intent with our first nuclear utility customer clearly and illustrate the progress we’re making and further validates the strong support we have from the industry. We look forward to formalizing the joint venture with AREVA and formally announcing the first end-user for our fuel upon completion of the binding lead test assembly agreement. Our nuclear technology has gained significant attention within industry. We presented the Lightbridge fuel at a number of important industry events this past year, as well as we made a presentation earlier this year at the American Nuclear Society and two recent events at the Massachusetts Institute of Technology. We remain very much on track with our goals. I’ll now turn the call over to Linda Zwobota who is Lightbridge’s Chief Financial Officer to summarize the company’s financial results for year-end.
Linda Zwobota: Thank you, Seth. For the year ended December 31, 2016, Lightbridge’s net loss available to common shareholders was approximately $7 million, or a loss of $1.48 per share, on revenue of $0.8 million. We have expended substantial funds on the research and development of our fuel technology. In 2015, the net loss available to common shareholders was $4.3 million, or a loss per share of $1.18, on revenue of $0.9 million. All revenue was generated from consulting services. Stock-based compensation expense was $2 million for the year ended December 31, 2016 compared to $1.9 million for the year ended December 31, 2015. For the year ended December 31, 2016, the company’s cash flows used in operating activities were $6 million versus $3.7 million used in operating activities for 2015. The increase in cash used in operating activities in 2016 of $2.3 million was primarily due to the increase in our research and development expenses in 2016 and the change in working capital items. Turning to our balance sheet. As of December 31, 2016, the company had approximately $3.7 million in cash and restricted cash compared to approximately $0.9 million in cash and restricted cash at December 31, 2015. The company had approximately $3.4 million in working capital at December 31, 2016, as compared to working capital of approximately $0.1 million at December 31, 2015. Stockholders’ equity was approximately $5.6 million at December 31, 2016 compared to stockholders’ deficit of approximately $1.5 million at December 31, 2015. On June 28, 2016, the company entered into a Securities Purchase Agreement with General International Holdings Inc. pursuant to which GIH purchased 1.02 million shares of the company’s newly created Non-Voting Series A Convertible Preferred Stock for $2.8 million, or approximately $2.75 per share. We subsequently completed this transaction on August 2, 2016, which has improved the company’s current cash and working capital position. We have no debt or debt credit lines and we have financed our operations to-date through the sale of our common stock and our consulting revenue. This concludes my summary. I will be available for your questions during the next segment of today’s presentation. And Seth, back to you.
Seth Grae: Well, thank you, Linda. When we look at climate goals around the world, we see that any realistic paths to achieving these goals must include a significant increase in nuclear power as part of the energy-generating mix. For nuclear energy to grow significantly, we must make it more economical while enhancing safety. Lightbridge-designed fuel is uniquely positioned to achieve both of these goals and now we have the right strategic partners to execute on our plan. It’s important to note that each of the accomplishments I mentioned earlier in the call has happened in a deliberate and specific sequence. We needed to have a fuel manufacturing partner before we could sign with a utility customer. We needed to have the utilities behind us before we could approach the regulatory bodies, not only do we have a major utility customer, but we have four of the largest U.S. nuclear operators publicly supporting us. 2017 is already an exciting year at Lightbridge and we look forward to major announcements. Let’s now open the call to your questions. In addition to asking live questions by telephone, you can also submit questions in writing to ir@ltbridge.com. We will pause while the operator reviews the procedure for asking live questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions]
Seth Grae: Can I say that, while we wait for live questions, David Waldman who is with Crescendo Communications, which handles our Investor Relations will proceed with any questions that come in by e-mail.
David Waldman: Thank you, Seth. Our first question was as follows. Recent news articles revealed an incident at the Halden Reactor apparently shutting operations down and evacuating a plant. Can you comment on what may have happened? And if this will impact, or delay Lightbridge’s fuel rods being installed and tested on the present time table?
Seth Grae: In our experience, we’ll operate the Halden Reactor take safety most seriously as do the Norwegian regulatory authorities. From what we’ve seen from the published reports, the leak was a very small amount of iodine. According to the World Nuclear Association, the amount of live iodine that was released is 5% of the amount of radioactive iodine that the reactor is permitted to discharge annually. So while we never want to see anything accidentally released anywhere to put this in context, what was released is 5% of the total amount that the reactor is actually permitted to release per year. From working with the operators at Halden, we expect the reactor to be back in operation next month in April. Even if there were a delay beyond that, it would not impact our schedule. We don’t expect this to impact our work at all. Our understanding is that the Norwegian Nuclear Regulatory Authority, the NPRA that we mentioned earlier normally handles reactor restart applications within 14 days of receiving the application. And our understanding is that that entire process will happen during April and the reactor restarted and will have absolutely no impact on Lightbridge. We’ll certainly keep everyone informed if that changes. But given the leak itself, how it’s been handled, that the procedures there, and how things are progressing right now, we don’t see any impact on Lightbridge.
David Waldman: Great. Thank you. And a related question is Lightbridge still on track to meet its own target dates for testing the fuel?
Seth Grae: Yes, we are. We are still nailing down some final terms of arrangements and working on related government approvals on some issues, but those are progressing. And yes, we do expect to meet the expected timelines.
David Waldman: Great. Thank you. Our next question is, what if any hurdles is Lightbridge facing with respect to testing and fuel rods fabrication?
Seth Grae: Well, at Halden, we’re waiting for the reactor license and restart to happen, which we expect will happen in April. We are working with partner that use the fuel [Technical Difficulty] that will start there and that is proceeding and we expect that fuel to be [Technical Difficulty] within the next few months and loaded into the reactor on schedule. For the commercial fuels, we will begin operations with AREVA and launch the joint venture company. And we expect very soon thereafter to announce the first, what’s called, lead test assembly agreement with a major utility in the U.S., particularly one which we’ve already signed the letter of intent and that’s really the key step. With that, the utility and AREVA will be working with the U.S. Nuclear Regulatory Commission on the licensing for the approval to produce the fuel and to insert it and operate it in the U.S. commercial reactor.
David Waldman: Great. Thank you. We have a number of other questions in advance submitted electronically. But let’s take a moment, operator, if you could just give instructions one more time if anyone would like to ask a lot of question and we’ll return to the other questions that have been submitted electronically.
Operator: [Operator Instructions]
David Waldman: Thank you. Our next question is finalization of the Lightbridge AREVA deal in anyway hindering progress?
Seth Grae: No. In fact, we’re doing quite a bit of cooperative work together already.
David Waldman: Great. Thank you. Operator, we can go to the live Q&A now.
Operator: Okay. Our first question comes from Tom DeHudy. Please state your question.
Thomas DeHudy: Good morning. Lightbridge made a number of significant milestones last year yet to start kilometers [ph] during the year, and you also raised capital last year. How do you explain discrepancy between making progress on your strategic plans, raising money, but your stock price is down 75% over the last year?
Seth Grae: Well, I think that obviously stock price is something we want to see improve significantly. But we need to achieve the milestones, we’ve already achieved and then some upcoming milestones. So while the milestones we’ve achieved are seminal, without them we couldn’t achieve the near-term upcoming milestones. I think it’s down to supply and demand that on the supply side, we need to announce the final launch of the joint venture company with AREVA committed to producing fuel for the commercial market that there will be a supply of this fuel commercially. And on the demand side, I think, we need to announce a binding contract with a utility, the lead test assembly agreement to insert this fuel into an operating reactor producing power. There are many other activities around that. Our patents have been coming in, government approvals, many things. I think it comes down commercially to supply and demand, which will lead to significant future cash flows for the company. And I expect that the stock price of that point will reflect the discounted present value of future cash flows, which we expect to be quite significant.
Thomas DeHudy: And those agreements you’re expecting within the next few months?
Seth Grae: Yes.
Thomas DeHudy: Thank you.
Seth Grae: Well, thanks. And I’ll just add to that, we’ve seen, I think, generally in nuclear, stocks moving with ours, the price of uranium moving with ours. I’m not sure why some algorithms track our price so closely to other companies that don’t quite do what we do. But I think I can understand that to be absence of us having those final agreements perhaps some people are looking at these other areas in nuclear as a metric to. So Lightbridge, but in the end, our biggest market is the existing reactors and that’s a market waiting for us to fuel in our view. And David, next question?
David Waldman: Yep, we have another question, a live question. Operator, please go ahead.
Operator: Okay. Our next question comes from Roger Shaw [ph]. Please state your question.
Unidentified Analyst: Yes, hi. My question is in light of the needed turbine in balance of plant retrofits for the existing reactors to benefit your design, which make – which makes engineering and financial sense. Are you currently coordinating with an appropriate advanced reactors and small modular reactors under design that could facilitate the use of your fuel assemblies in the future?
Seth Grae: Well, first of all, on the balance of plants retrofits, as we’ve previously stated on calls, I think it is accurately reflected in your question. We do have that well quantified. Siemens conducted an independent report that you can see on the Investor Relations portion of the Lightbridge website that goes through everything that needs to be done the reactor to switch the retrofitting in Lightbridge fuel. And we also have projections on the excellent internal rate of return on doing that for utilities, which is part of what’s attracted the utilities to work with us. In terms of advanced reactors, the Lightbridge fuel is designed to work with any water-cooled reactor, which is virtually every power reactor operating in the world that under construction and planned. The advanced reactors includes some water-cooled reactors, where our fuel could be useful, such as some of the pressurized water reactor, small modular reactors. The advanced reactors also include some very advanced concepts for different types of reactors are quite futuristic that I don’t think could be commercialized, or at least not in any scale for many decades, not within the projected timeframes of current investors. So we have not designed for those. So the short answer to your question is, yes, for the water-cooled advanced reactor designs, which are mostly in the small modular reactor category. But not for other types of advanced reactors like say fusion reactors.
Unidentified Analyst: Well, that makes perfect sense, that is more of a future question – a question for the future. But thank you very much for that.
Seth Grae: Thank you.
Operator: Okay.
David Waldman: Thank you. Operator, we have another live question?
Operator: Yes. Our next question comes from James Anderson. Please state your question.
Unidentified Analyst: Hi, Seth. My question is in regards to your annual reports. I mean, what appears to be some date shifting. So and I understand some things have taken longer than expected. But. I guess, it’s hard to reconcile when events are going to happen, when I see certain milestones and dates being pushed back years, but I’m also hearing that the Norway test is on track and AREVA JV is on track. So could you comment at all about what appears to be a date shift and reconcile that with your comments of being on schedule?
Seth Grae: Yes. Well, I’m not sure what you’re pointing to. I think that we’re on schedule for the dates that we have currently published and that other utilities and other entities have discussed publicly as well. What I will say, I think, in response to your question, I’ll turn to John to talk to this a bit. And all along, by way of introduction to Jon, Jon has been with Lightbridge since 2007. He is one of the leading nuclear regulatory experts in the world on which responsible for every commercial reactor in the United States to go for 100 commercial power reactors, and in addition to that research reactors when he was with the Nuclear Regulatory Commission. And let me ask Jon just to speak briefly to schedule on regulatory regimes.
Jon Johnson: Well, thank you, Seth. Yes, my – from my experience at the Nuclear Regulatory Commission, any type of fuel design or new fuel licensing takes an extremely long length of time. And a lot of the unknowns within, and I can remember during my career with the NRC extensive testing had to go on at multiple national laboratories to approve new cladding designs from different vendors and so forth. And just speaking for the utilities, I know from talking to many utility managers that they are very conservatives in these types of changes once they have a operating design that’s functioning, they do not want to change very easily. So things are very, very slow progressing in any kind of new fuel design, or cladding. And that in terms of our, excuse me, specific milestones, it’s very lengthy in terms of getting – also getting into a schedule at research reactors in order to do the testing.
Unidentified Analyst: Thank you.
Seth Grae: Thank you. Thank you for your question.
Unidentified Analyst: [Technical Difficulty]
David Waldman: Sorry, I think. So we have another question that was submitted in advance, we touched on this a little bit. But could you expand on how long would it take to make the fuel for testing one to actual work commences to build the test fuel rods?
Seth Grae: It’s a pretty brief period. It’s within a couple of months.
David Waldman: Okay. Thank you. And a follow-up question to that is, what types of reactors were used to fuel first?
Seth Grae: Well, what we’ve signed the letter of intent relating to is, what would be called a Westinghouse type four-loop pressurized water reactor in the United States. It is the most common type of power reactor in the world. It’s the most common type in the United States. And it’s something also from which we believe that as we receive U.S. Nuclear Regulatory Commission approval to the joint venture to produce the fuel with AREVA and for utilities to use the fuel that that will help with foreign nuclear regulatory authorities many of which look to the NRC approval process to give them comfort before they start an approval process, the NRC is in many ways for you guys, it’s sort of a gold standard in the world among regulators. Now starting in the U.S. is not only where we happen to have the utilities most interested in using it first. But it really brings us the regulatory benefit of approval of the regulator the rest of the world looks to for the most guidance as well. And Jon also had an interaction between the Nuclear Regulatory Commission and the rest of the world’s nuclear regulators. And Jon if you want to comment on that a bit.
Jon Johnson: Yes. We frequently NRC managers in different areas whether it’s operations, or construction, or fuel, or core design interface frequently with other regulators in the convention on nuclear safety, which is held in Vienna, Austria that I believe is that that next meeting is coming up very soon in Austria. As well as sharing inspectors and managers, there’s many Nuclear Regulatory agencies around the world that exchange people with the NRC. And they’ll spend a year at the NRC learning the latest analysis and how to use computer codes to analyzing and learn some best practices. So it’s a small world in the nuclear regulatory area and all agencies basically share best practices with each other.
Seth Grae: And last week, the Nuclear Regulatory Commission had its Annual Regulatory Information Conference in Rockville, Maryland near Washington DC, which was attended not only by experts from the U.S., but by regulators from around the world. And Jon, I believe you were in the room when the NRC actually presented a bit on Lightbridge fuels.
Jon Johnson: Yes, Seth. The – there’s a extreme interest by utilities around the world and certainly in the U.S. for advanced technology fuel. And they believe that this is the next big event, let’s say in nuclear power safety and economics, both and they expect to make use of safety margins increasing in safety margins by using new fuel. And the utilities as a matter of fact the largest utility in the U.S. speaker mentioned that this was a significant event. They’re looking forward to put new lead test assemblies and cores with advanced fuel, because they believe that this is going to give them advanced safety margins that they can make use of economically also at their facilities. And the – there were several discussions at this Regulatory Information Conference about the different types of advanced fuel that is undergoing testing in the United States. And of course, the Lightbridge design all metal fuel stands out with a lot of advantages that the other types of advanced technology fuel do not have.
David Waldman: Great. Thank you. So our next question, can you comment on how our fuel helps with climate change and air pollution?
Seth Grae: Well, I think it will help tremendously. What we’re seeing in cities from New Delhi to Beijing is a crisis – human health crisis and people dying of air pollution that in many ways is more immediate than climate change itself. But what we’re seeing with climate change globally is metrics that that is happening from the arctic ice sheets to see your eyes, which of course are related. And what we see on looking at projections of future energy use same years 2040 and 2050, which are seminal for climate change for staying below two degrees centigrade increase in global temperature. That, as I said earlier in the call, the way we analyze it, there is no possible path to achieving those goals. And it doesn’t include a growth in nuclear power as part of the energy mix to achieve the goals. And nuclear power simply, even though it is growing in the world, it won’t grow enough to meet those goals because of safety and economic concerns, particularly versus the price of natural gas. Except that Lightbridge fuel will be able to increase the power output of existing reactors and economically justify building new reactors, we believe that will really move the needle on how much nuclear power is generated in the world and be a key component of meeting those air pollution and climate goals. And we really regard our competition to anything that generates electricity. And according to the Siemens study when a reactor is upgraded using Lightbridge fuel, the added power that is generated will be the lowest cost base load electricity on the grid in the country cheaper than natural gas, cheaper than coal, a more economically justified solution adding more gas and coal. And that happens to be zero emission energy from our fuel, no climate gases, no air pollution. So I think that our fuel will be very important to increasing the amount of nuclear power in the world. And without increasing the amount of nuclear power in the world, we simply won’t meet our climate and environmental goals.
David Waldman: Great. Thank you. We have a couple of more questions maybe just quickly, operator, if you can provide one last time instructions if anyone has new live questions otherwise we’ll wrap up with the remaining questions that have been submitted electronically.
Operator: [Operator Instructions] Okay. We have one that came in from Peter [indiscernible] Please state your question.
Unidentified Analyst: Hi, Seth, how are you doing?
Seth Grae: Hello.
Unidentified Analyst: An example, Germany patents on France right now?
Seth Grae: We have any patents in France?
Unidentified Analyst: Yes.
Seth Grae: Yes. Our European Union patent was granted, which specifically includes France, yes, and that’s one of our largest potential markets in the world.
Unidentified Analyst: Perfect. Another one on these milestone that when you get these contracts, you get paid for milestone payments, correct?
Seth Grae: Yes, we expect, for example, a lead test assembly contract with the first utility. And then others will include payment from signing and then hitting milestones up until the fuel being delivered and inserted into the reactors. I expect this will be structured as advanced payment. But there are very different structures that will be used at different utilities perhaps.
Unidentified Analyst: Okay. Thank you.
Seth Grae: Thank you.
Operator: Okay. And our next live question comes from Tom DeHudy. Please state your question.
Thomas DeHudy: Can you elaborate your negotiations with AREVA in terms of why it’s taking so long to reach an incentive agreement with them?
Seth Grae: Well, first of all, to put this in context, we announced the very concept of metallic fuels for power operates and for safety in the second-half of 2010. And in less than seven years, we will have taken this to where it is. And we talked in the past about push and pull strategies. On the one hand we can’t sign a definitive agreement with a utility to take the fuel until we have an agreement with a supplier like AREVA to produce the fuel. On the other hand a supplier like AREVA won’t be interested in committing to produce something and put tremendous resources into doing that unless they know there’s a customer that will buy it. So we had to go and work with the utilities, which we are particularly with Duke, and Dominion, and Exelon and Southern Company and have them show enough interest that a company like AREVA sees the customers and will sign with us. I will also say that, this is not a simple contract. This is committing a major global corporation to an enormous expenditure of resources working with its regulators booking with very detailed and confidential information that they have as to their cladding materials and others, which are sort of the crown jewels of their company and bringing them to our project. As I said earlier in the call, we really couldn’t overstate the importance of AREVA bringing the knowledge they do to taking our fuel rod and making into what’s called a fuel assembly, a bundle of nuclear fuel with a top plate that works in the current reactor at the bottom plate. We can go on forever. It’s enormous amounts of technical data and getting them to commit to do that. And we have reached the key terms for the joint venture. We will soon announce the launch of that company over the coming months, as work continues with AREVA. And it’s been a very challenging time for nuclear power and many of the companies in the industry, since Fukushima, since the global financial crisis, since the collapse and natural gas prices are putting tremendous competitive pressures on them. So I think all that feeds into the answer to your question. But we’re very close in final stages with them now.
Thomas DeHudy: Okay. Thank you.
Seth Grae: Thank you.
Operator: Okay. Our next question comes from Bruce Lewis. Please state your question.
Unidentified Analyst: Yes. Hi, Seth. I’ve been with the stock for quite a number of years. And it’s getting a little disgusting to send or dial again. Now, if you think there will be another reverse split if it stays under that, number one? Number two, when will the company finally get some money in?
Seth Grae: I think both of those questions relate to achieving these major milestones that we’ve said are coming up that, we’ve talked earlier in the call to stock price. And if you add a discounted present value of future cash flows signing with companies….
Unidentified Analyst: I’m asking you can give us a time limit [Multiple Speakers] for another year?
Seth Grae: I think this year you’ll see that. And we’ve also talked about strategic capital coming in as we sign with utilities as well. So, I think the company has done a very effective job opportunistically raising capital over the years and a half of the money we’ve spent has been earnings from our own revenues. So the bottom line is reaching these milestones we’ve committed to reaching.
Unidentified Analyst: Is there any effect with Westinghouse going out, any effect to Lightbridge?
Seth Grae: I don’t know what’s going to happen to Westinghouse. There’s talk of Korean investors for having buying the company. I really don’t know. Lightbridge is the main direct global competitor to AREVA. We’re going with AREVA. I expect that one way or the other being in its current form or under new ownership, Westinghouse’s business lines will continue. I expect our nuclear fuel manufacturing will continue in particular. But again, that is a competitor to the partner that we’re going with.
Unidentified Analyst: So you have no arrangements with Westinghouse now?
Seth Grae: No. we have no arrangements whatsoever with Westinghouse at all.
Unidentified Analyst: So, again, I’ll ask you one more time. Is it one-year, two years, three years, what’s your best estimate of mile coming in?
Seth Grae: Well, I would say, it’s less than one year.
Unidentified Analyst: Less than one year.
Seth Grae: We’re signing with these utilities, yes.
Unidentified Analyst: Well, what about – are there people shorting this stock? I don’t quite understand the stock being under one, but, I’m sorry?
Seth Grae: Yes, I – well, I would assume that is happening. I have no specific information. We often don’t see what happens in the market. I would say, anyone doing that is taking quite a risk that we expect they will lose on and then make these announcements. But I would expect that as with a lot of small company stocks, some of that is happening.
Unidentified Analyst: And Seth, I know, there still hasn’t been any insight [thing lately], is there any explanation for that?
Seth Grae: Well, there has been some over the last year, and there’s also been people taking equity in lieu of cash salary and other compensation as well, which is another form of doing that. You certainly see with the people on this call and the people out working around the world right now tremendous commitment and belief by the people in this company.
Unidentified Analyst: I noticed that nuclear plants are being shutdown in this country. Now, is there any idea that the perception that nuclear will change to the better in this country in the short-term or anytime?
Seth Grae: Yes, I think that’s an excellent question. It goes to our discussion of Lightbridge’s effect on nuclear power, and then nuclear powers effect on energy overall. There have been some plants to shutdown. There’s also been a new one opened called Watts Bar-2 in Tennessee, and there are four under instruction, two in South Carolina, and two in Georgia that will open in the next few years. So net-net, the amount of nuclear energy in the country is remaining fairly flat. There are also some plants that would have shutdown in New York State – Upstate and in Illinois that the state governments partly due to carbon benefits have stepped in and saved and that won’t shutdown, and now something similar seems to be happening in Connecticut. So we think the U.S. market will be flat for sometime. It’s a very good market for us. It’s the initial market for us. But the major growth in the world is in China and in other places way to our east. And this is a big growth industry worldwide. Now fuelling the existing 400-plus reactors in the world is important to us. But we think a lot more than that will be built as new reactors over the coming couple of decades.
Unidentified Analyst: Could you – one final question. The Chinese investor that came in if you need more money, is he willing to generate that money for the company, or would you go somewhere else?
Seth Grae: Yes, that’s possible. He also invited us several months ago to a conference he organized in Beijing with others who are interested in the company. And that that is a possibility. We’re very careful about Chinese investment. We’re very carefully structured this one in terms of voting rights and that sort of thing. So that there’s no control. But that is possible. There’s certainly interest in China. But we do expect the monies we’ll be renegotiating with these U.S. utilities will be domestic U.S. Capital.
Unidentified Analyst: I’m sorry, one more question. Just how did the MIT conference go?
Seth Grae: Well, there were two on consecutive days about three weeks ago. Each week during the school year, the American Nuclear Society Division at MIT runs a weekly seminar for the whole Department of Nuclear Sciences and Engineering, which is undergrads, master’s, students, PhD students, the faculty and invited guests, it’s a pretty large audience. And Jim Malone who is Lightbridge’s Chief Nuclear Fuel Development Officer and I gave that presentation like Jim had to lead. It was very, very technical on Lightbridge fuel that went very well excellent and insightful questions as you’d expect from particularly MIT faculty members and PhD candidates. The next day, I was on a panel at MIT’s Annual Energy Conference, which is energy in general, not just nuclear and talked about nuclear power on a panel in the context of – as the MIT organizers put in everything old is new again. And at least the way I framed, it was the way we’ve been generating our electricity is the way we will continue to generate our electricity with nuclear power, with fossil fuels, with hydro electric, and some renewables. And that within nuclear and keeping that in its place and growing globally, we’ll need some new fuel technology, which is what Lightbridge’s are providing.
Unidentified Analyst: Thank you very much.
Seth Grae: Thank you.
David Waldman: Thanks. Our next question, it’s encouraging to see the country that Lightbridge has received patents. Are there any other country patents being pursued?
Seth Grae: Well, in all the countries we’ve received patents, we’ll be maintaining them. There are some others that were still waiting to come in, but all of the major ones around the world have come in. When you look at the U.S., the European Union, Russia, China, Japan, the others that we’ve received over the last year, these are the main ones in the world that matter.
David Waldman: Great. Thank you. And our final question for this morning, new scale is an AREVA partner considering Lightbridge’s emerging relationship with AREVA. Has there been any discussion of collaboration between new scale small modular reactors and Lightbridge’s fuel?
Seth Grae: We mentioned earlier in the call that Lightbridge’s fuel is useful in all types of water-cooled reactors that would include water-cooled small modular reactors, the new scale plant is exactly that kind of reactor. Nuclear is a small world we do. We know the other companies in it. We know people in new scale and elsewhere. So we’re certainly having some conversations and we’ll feel if that leads to.
A - David Waldman: Well, thank you. That concludes our question portion of the call. So I will turn it back to you, Seth.
Seth Grae: Well, thank you, David, and thanks to all of our investors. We’ll be providing additional updates in the very near future. In the meantime, our lines are always open at ir@ltbridge.com not just during these calls, or at telephone number in the U.S. 855-379-9900. Thank you again and goodbye.
Operator: Thank you. This concludes today’s conference call. We thank you for your participation. You may disconnect your lines at this time, and have a great day.